Operator: Good day, and welcome to the Sempra Second Quarter Earnings Call. Today's conference is being recorded. At this time, I would like to turn the conference over to Glen Donovan. Please go ahead.
Glen Donovan: Good morning, everyone. Welcome to Sempra's second quarter 2022 earnings call. A live webcast of this teleconference and slide presentation is available on our website under the Investors section. We have several members of our management team with us today, including Jeff Martin, Chairman and Chief Executive Officer; Trevor Mihalik, Executive Vice President and Chief Financial Officer; Kevin Sagara, Executive Vice President and Group President; Justin Bird, Chief Executive Officer of Sempra Infrastructure; Allen Nye, Chief Executive of Oncor; Peter Wall, Senior Vice President, Controller and Chief Accounting Officer and other members of our senior management team. Before starting, I'd like to remind everyone that we'll be discussing forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Actual results may differ materially from those projected in any forward-looking statement we make today. The factors that could cause our actual results to differ materially are discussed in the Company's most recent 10-K and 10-Q filed with the SEC. Earnings per share amounts in our presentation are shown on a diluted basis, and we'll be discussing certain non-GAAP financial measures. Please refer to the presentation slides that accompany this call for a reconciliation to GAAP measures. We also encourage you to review our 10-Q for the quarter ended June 30, 2022. I'd also like to mention that the forward-looking statements contained in this presentation speak only of today, August 4, 2022. And it's important to note that the Company does not assume any obligation to update or revise any of these forward-looking statements in the future. With that, please turn to Slide 4 and let me hand the call over to Jeff.
Jeffrey Martin: Thank you, Glenn, and thank you all for joining us today. Earlier this morning, we reported second quarter 2022 adjusted earnings per share of $1.98 and year-to-date 2022 adjusted earnings per share of $4.90. Based on the strength of these results, we're now guiding to the high end of our full-year 2022 adjusted EPS guidance range, and we're also affirming our full-year 2023 EPS guidance range. Next, let me offer some perspectives on how we think about the future. At Sempra we've worked hard to simplify our business model, to improve safety and operations then with the benefit of more disciplined capital allocation to also improve our financial performance. Today we have built three large scale growth platforms operating in some of the largest energy markets in North America. Within these platforms, we have an exciting opportunity set. Here is a quick summary. At Sempra California, we're making capital investments to continue improving safety, reliability and sustainability. Each are key components of our recent GRC filings. At Sempra Texas, we couldn't be more excited about the work Oncor is doing to support strong economic and demographic growth and the continued integration of cleaner renewable resources. At Sempra Infrastructure, there are significant growth drivers across all three business lines. LNG and Net Zero solutions, clean power and energy networks. In the first half of this year, the United States became the number one global exporter of LNG. And by the end of the decade we expect the United States will extend it significant leadership advantage in this area. In combination, these investment opportunities support our record $36 billion capital plan for 2022 through 2026, as well as our continued confidence in our projected 6% to 8% annual average long-term EPS growth rate, which we announced earlier this year. Please turn to the next slide, where I'll turn the call over to Trevor to provide several business updates.
Trevor Mihalik: Thanks, Jeff. Beginning with Sempra California, both SDG&E and SoCalGas filed their general rate cases with the CPUC in May to update their authorized revenue requirements for 2024 through 2027. These comprehensive filings represent a thoughtful effort to support our customers by striking the right balance between maintaining customer affordability and making the necessary infrastructure investments for safer, cleaner and more resilient energy systems. Notably, both utilities have outlined the critical areas of investment needed to safeguard their systems and support the states clean energy goal of achieving carbon neutrality by 2045. As an example, SDG&E's GRC filing is centered around investments, such as wildfire mitigation, system hardening, EV infrastructure and innovative technologies to modernize our electrical system. For SoCalGas, investments in pipeline safety and integrity and emissions reductions are key priorities in its application. Support for these rate case priorities will lead to a cleaner energy system and provide long-term benefits to our customers. We look forward to working with all stakeholders on these proceedings to advance a positive outcome. In April, both SDG&E and SoCalGas filed their cost of capital applications to update their respective authorized rates of return for 2023 through 2025, and we expect a final decision by year-end. To further support grid resiliency, the CPUC approved SDG&E's four new micro-grid facilities. These new energy storage projects are expected to improve power continuity during grid outages and are great examples of the critical investments SDG&E is making to integrate renewables while enhancing reliability for its customers. Additionally, SoCalGas recently announced that since 2015 had achieved a 37% reduction, a fugitive methane emissions, significantly ahead of the state's goal of a 20% reduction by 2025 and nearing the state's goal of a 40% reduction by 2030. This achievement is significant and demonstrates SoCalGas's focus on helping to accelerate the decarbonization of California's energy systems. Shifting to Sempra Texas, Oncor continues to benefit from its demographic growth and strong economic expansion across its service territory. As a result, Oncor has added another 35,000 new premises so far this year. We continue to anticipate maintaining an annual premise growth of approximately 2% in the near term, which is significantly above the industry national average. Also, Oncor has seen more than 70% increase in new requests for transmission interconnections compared to the second quarter of 2021. This highlights the continued growing demand and expected penetration of renewables in their service territory. On top of significant organic growth, Oncor continues to experience near record high temperatures. And in recent weeks ERCOT has set new records for peak electrical demand. As a grid operator, Oncor has been doing its part to help, maintain grid reliability during these extreme weather events, while also executing against a record $15 billion capital plan for 2022 through 2026. Given Oncor significant growth across its service territory, we expect their CapEx program will again be adjusted this fall. As it has done in the past, Oncor will present its updated rolling five-year capital forecast to the Board at their October meeting. In May, Oncor filed its rate case with the Public Utility Commission of Texas requesting a 4.5% revenue requirement increase over current adjusted rates to support Texas's rapid growth trends and need for continued reliability. The new rate is expected to go into effect in the first quarter of 2023. Oncor looks forward to working in partnership with its stakeholders to achieve a positive outcome. Now, I will turn the call over to Justin to discuss updates at Sempra Infrastructure where we've successfully reached a number of important commercial milestones this quarter.
Justin Bird: Thanks, Trevor. Last year, we formed Sempra Infrastructure to be a leading North American infrastructure platform with a standalone investment grade balance sheet. This has enabled us to attract strategic investment partners like KKR and ADIA while also highlighting the growing equity value of the business. In June, we were pleased to close our 10% sale to ADIA for approximately $1.7 billion, with an implied equity value of close to $18 billion. We look forward to a strong partnership with ADIA and together with KKR we are working collaboratively to advance our strategy of providing cleaner and more secure energy to global customers. Jeff talked earlier about the growth that we're seeing in all three business lines at Sempra Infrastructure. But what I thought would be helpful is to focus my time on recent developments in U.S. LNG. Please turn to the next slide. Sempra Infrastructure's U.S. LNG development portfolio has made significant strides. As we outlined in our last quarterly earnings call, the key work streams that Cameron LNG Phase 2 include completion of our pending FERC amendment, the competitive FEED process and ongoing marketing. With regard to our recently announced commercial arrangements at Cameron, we have worked hard to align our economic and commercial interests with those of our customers. You will recall that we plan to take our 50% share of the trained for offtake and sell it back-to-back to global counterparties under long-term sale and purchase agreements. We are pleased to confirm that we have substantially achieved this marketing goal, as a result of the HOAs with the Polish Oil & Gas Company and INEOS, which includes the optionality to move volumes between Cameron LNG Phase 2 and Port Arthur LNG. Turning to engineering, we are running a competitive FEED process with Bechtel and JGC-Zachry joint venture. This is expected to be completed in the summer of 2023. At which time, we would expect to move to FID. Next, let me discuss Port Arthur LNG. Similar to Cameron, we have maintained a disciplined marketing approach with a focus on linking U.S. natural gas production with some of the leading European buyers of LNG. This strategy has served us well in the current environment, given supply disruptions in Europe. Just as a reminder, we have a FERC order and a DOE expert permit in hand and the permitting and design work are highly advanced for the initial phase of the project. The key remaining work streams involve finalizing of the EPC contract with Bechtel to include updated pricing and signing definitive offtake arrangements. Since our Q1 earnings call, we have entered into HOAs with RWE, the Polish Oil & Gas company and INEOS and announced a strategic partnership framework with ConocoPhillips, under which Conoco would receive roughly half of the offtake volumes or 5 MTPA under a 20-year tolling type arrangement and potentially make a 30% equity investment in Phase 1. Importantly, these announcements mark substantial progress in the marketing phase of this project. As it moves forward, we will continue to work with stakeholders, including customers, contractors, debt holders, equity investors and credit rating agencies. The positive takeaway from this, is we continue to see great interest from European buyers and volumes are coalescing around projects that have the greatest probability of advancing. We look forward to updating you on future progress in November on our third quarter call. As Jeff mentioned earlier, the U.S. has recently become the number one global exporter of LNG. Based on the quality of our development sites and their geographic positioning relative to Europe and Asia, we believe our business can help advance America's leadership position in this area, while also providing energy security to our allies and helping facilitate the global energy transition. Please turn to the next slide, where I'll turn the call back to Trevor to discuss Sempra's financial results.
Trevor Mihalik: Thanks, Justin. Turning to Sempra's financial results, earlier this morning we reported second quarter 2022 GAAP earnings of $559 million or $1.77 per share. This compares to second quarter 2021 GAAP earnings of $424 million or $1.37 per share. On an adjusted basis, second quarter 2022 earnings were $626 million or $1.98 per share, which compares to our first quarter 2021 adjusted earnings of $504 million or $1.63 per share. On a year-to-date basis, 2022 GAAP earnings were $1,171 million or $3.70 per share. This compares to year-to-date 2021 GAAP earnings of $1,298 million or $4.24 per share. Adjusted year-to-date 2022 earnings were $1,550 million or $4.90 per share, which compares to our year-to-date 2021 adjusted earnings of $1,404 million or $4.58 per share. Please turn to the next slide. The variance in the second quarter of 2022 adjusted earnings compared to the same period last year can be summarized by the following. $48 million of higher equity earnings at Sempra Texas Utilities, primarily due to customer and consumption growth and increase in invested capital. $41 million of higher CPUC base operating margin, net of operating expenses at SDG&E and SoCalGas, as well as higher FERC margin at SDG&E. And $33 million of higher earnings at Sempra Infrastructure. There are a number of items driving this variance, so please refer to the appendix for further detail. Please turn to the next slide. As we close our prepared remarks, let me give you a couple of key takeaways. First, comparing the financial results from the first half of this year to the same period in 2021, we posted adjusted earnings growth of 10% and adjusted EPS growth of 7%. It's equally important to note that we have accomplished these results even with the sale of a 30% minority interest in Sempra Infrastructure. Second, the steps we've taken to diversify and strengthen SI's capital structure came at an opportune time, and have put us in an improved position to execute on a new set of exciting development opportunities, particularly in the LNG space. Third, going forward, we remain highly focused on safety and operational excellence. By executing on our strategy, which includes progressing towards constructive GRC outcomes at Sempra California, extending and improving electric grid resiliency in Texas, while Oncor works with its stakeholders to finalize a constructive base rate case for its customers and achieving further milestones in our overall development pipeline at Sempra Infrastructure. And with that, this concludes our prepared remarks. So, I will now stop and we can open the line to take your questions.
Operator: Thank you. [Operator Instructions] And we'll take our first question from Shar Pourreza with Guggenheim Partners. Please go ahead.
Shar Pourreza: Hi guys. Good morning.
Jeffrey Martin: Good morning, Shar.
Shar Pourreza: Just - you obviously you're guiding now to the top end, and it appears you're tracking well ahead of plan especially with some of the commodity optimization upside. How are you thinking about, I guess, the cadence of further updates on '22 as we think about the rest of the year? And then just more importantly, how are you sort of thinking about '23 update especially as we're now bridging to a higher '22 base or there is some of the recurring benefits that you anticipate taking into '23 like maybe O&M pull forward any other optimizations?
Jeffrey Martin: Well, we appreciate the questions, Shar. I would start by just reflecting on the fact that over the last decade, we've grown our earnings per share at roughly an 8% CAGR. I mentioned this in my prepared remarks that we continue to expect the average annual long-term adjusted EPS growth rate to be in the range of 6% to 8%. And I think, we're fairly excited about being ahead of plan for the year, I think that's the right characterization. And given the strength of our results in the first half plus some of the opportunities we itemized in our prepared remarks, we certainly think that sets us up for a continued very, very strong growth in income story. We're obviously guiding to the high end of the range for 2022. And I would note, Shar, this is the fifth time in six years that we've guided to the high end of the range or increased our guidance. So we feel like there will be some pull through in 2023. And as we head into our Q3 call, we should be in a better position to give you a more definitive update.
Shar Pourreza: Okay. Perfect. That helps as we're bridging. And then just Port Arthur is now optically oversubscribed, just given the advanced stage of Port Arthur 1, and did the expansion - I guess, what are the hurdles to putting in FID timeline for us? Like if EPC is done, would it be feasible to finalize commercial agreements in a relatively short time, you like maybe mid-'23 along with Cameron 4?
Jeffrey Martin: Yes. I would tell you that one of the ways we're thinking about RFID decision, I know, Shar, you may have followed us, there is a lot of interest in our San Diego Padres over the last couple of days. And to use a sports metaphor, some people talk about playing smaller ball. Moving runners around the bases and that's exactly what Justin and Faisel and the team are doing in our LNG business. Let me just start by kind of characterize and where we're at with Cameron expansion or what we refer to as Phase 2, and I'll get right to Port Arthur to get at the heart of your question. First at Cameron, we're continuing to move forward on definitive commercial agreements with our partners, namely move into SPAs. We're continued to advanced permitting and we're making progress on the competitive FEED works. We expect to complete those work streams in the middle of next summer and assess an FID decision thereafter. At Port Arthur, we're not prepared to set an expected FID date yet, but I can confirm there are scenarios where FID could occur in 2023 and even in the first half of 2023. We've had some exciting developments, I think as you correctly noted using optically kind of subscribed at least Phase 1 through a series of HOAs. The next steps for us is make sure we convert those to SPAs. A lot of times buyers as you know, we want to secure their interest in the facility and move quickly to an HOA in fall with an SPA thereafter. Secondly, it's very important work we have underway with Bechtel. We've already started our partnership conversations with ConocoPhillips. We think they'll be very, very helpful with us, as we evaluate and optimize that FEED process. Then thirdly, we're advancing our financing another development activities. So there is no question from our perspective, Shar, that is an exciting project. Our goal at this point is to manage the work streams, I just described in a way that maximizes the projects value for our shareholders and it will be in a better position on the November call to give you a more definitive update.
Shar Pourreza: Got it. Perfect. Then just, Jeff, one last quick one is obviously there is multiple projects that are advancing in parallel path. Just want to get your reiteration that, just given the ways you've been able to finance these projects, maybe some incremental debt capacity that you see this as being an equity free build out, as you go through the growth opportunities at the LNG business?
Jeffrey Martin: Yes. I will tell you that Faisel and Trevor and Sandeep and Justin, team have spent a lot of work around this. And I give them credit because we've made as you followed a series of strategic moves to not only form Sempra Infrastructure, with the standalone balance sheet and diversified capital structure. But this the steps we took in the last 18 months also gives us a lot of flexibility. So let me give you a couple of ideas that we've outlined previously about how we expect these projects. First, as you know, we can always use non-recourse financing. You've seen the team do this on Cameron 1 through 3 and on ECA. Second, as we've done in the past, we can sell down project level equity to our off takers. This is our current plan with ConocoPhillips, Justin made this comment earlier, but we're expecting to take a 30% equity interest in Port Arthur. And I would also mention, Shar, we may also look to bring in other equity partners at the project level in Port Arthur. Third, Sempra Infrastructure is rated as an investment grade credit, this was an important development for us with significant cash flows, and this gives us another great option to access the debt markets. And then I would say fourth with the inclusion of KKR and ADIA in the capital structure, it provides us with other third-party sources of capital and it probably doesn't surprise you to know that we're also routinely taking quite a lot of reverse inquiries from other third parties to participate in our projects. So our goal as we move forward in the development process for Cameron Phase 2 and Port Arthur Phase 1 is to make sure we're evaluating all these options through the lens of getting often really high quality project and also through the lens of making sure it creates the most value for our owners.
Shar Pourreza: Perfect. Fantastic guys. Thanks so much. I'll jump back in the queue. Appreciate it.
Jeffrey Martin: Thank you, Shar.
Operator: And we'll take our next question David Arcaro with Morgan Stanley. Please go ahead.
Jeffrey Martin: Good morning, David.
David Arcaro: Hi, good morning. Hi, thanks so much for taking the question. I was wondering if you could talk about some of the CFE news of late, and maybe on one hand could you just talk about the Pacifico project, how does the agreement that you've got in place they're now help move that project forward incrementally? And then I'm also curious on the Salina Cruz LNG terminal site. Just any other details you might be able to give, it's early stage in terms of size, strategic appeal in competitiveness timing, et cetera?
Jeffrey Martin: Yes. If I understand your question correctly, I think we kind of summarize some of the recent developments with CFE, kind of our views on that marketplaces, some of these newly referenced projects. So I would start with saying, we have very constructive relationships in Mexico. Tania Ortiz does a wonderful job in Mexico. And I've had the benefit probably in the last 90 to 100 days meeting with the President of Mexico three different times about how we continue to grow that relationship and better serve that country. So I think big picture in the short term and long term, and we think they'll need additional investment, particularly in the energy infrastructure space. And David, because of the size of our existing energy network, we think it's well positioned as anybody to help meet some of the new investment needs of that country. There is a list of SI's development project summarized in the appendix at Slide 13, by way of references I go forward. But on a couple of projects you mentioned, we recently signed up the commercial terms for us to reroute the Sonora pipeline around the Yaqui territory. There is still some work to be done by the Mexican government to resolve issues with the indigenous people. So we think that's an important step. Vista Pacifico is a very interesting project is on around that 3 million ton per annum stage, is accessed by two existing pipelines. It's always a nice attribute, when you can work with the government to make sure you secure your land concession, your local, state and federal permits. And we're also having conversations with CFE to do a capacity release, so we have access to the type of volumes of natural gas we need to build that project. And that's something we think that the government of Mexico is constructive on and we're going to continue to work forward on a development basis. As to Salina Cruz, one of the things that's interesting as we think about the root causes of migration is that the estimates of Mexico, which is about a narrow waste at the Southern part of the country that's just over 200 kilometers to 250 kilometers in width. There's a lot of interest to create in an industrial quarter there. I think the President of Mexico is hoping to create 10 different industrial zones, and they're trying to find a way to bring natural gas down the Gulf Seaboard, so they could have a potential for an LNG opportunity on the Gulf side, as well as an LNG opportunity on the Pacific. Because we have such a strong position in U.S. Gulf Coast LNG today, we have been far more interested in the Salina Cruz facility, that facility would also very similar to Vista Pacifico, ECA Phase 1 provide a unique geographical access to the Asian markets with on sea transfers taking about 11 days to reach that marketplace. It's very early stage, David, but I think what it really goes to is our ability to work with various administrations in Mexico because our baseline approach is to make sure we put dollars down there in the country. Number one, we do it selectively. Number two, we tie it to raise in the standard of living for the Mexican people. And number three, we tend to try to do it in cooperation with the government, so we're also meeting their stated policy objectives.
David Arcaro: Excellent. Thanks. Very helpful.
Jeffrey Martin: Thank you.
David Arcaro: Separate question, I was curious, I know it's early in the process, but in Texas in terms of the rate case, any thoughts on the prospects of settling that case here?
Jeffrey Martin: Sure. I would say similar to our California utilities, I just start-off, let's say in the Oncor you recall, filed its base rate application in May with a view toward reaching a final regulatory outcome later this year. But we've got Allen with us on the call and Allen perhaps it would be helpful, if you just provide some additional color around the process as we move forward from today to get to a good outcome that benefits the rate payers of Texas.
Allen Nye: Yes. You bet, Jeff. Thanks for the question. As Jeff said, let me just start by saying kind of where we are and then I'll get to where I think we're going. Jeff said, we filed in May, right now we're in the discovery phase of the proceeding, so we've been asked quite a few RFIs we're responding to them now. Kind of some important dates that are coming up, discovery will end on our direct case on the 22nd of this month. Intervenor testimony is due on August 26. And then staff testimony would be due on September 2nd, with a hearing on the merits, only if it's necessary obviously September 26 through October 5. So that's kind of where we are right now. Now where we're going and you know, I've said on these calls, many times over the last five years or so. We have a very strong reputation in Austin and that strong reputation is built over years and years of doing the right thing and being able to get along and work with our constituents and our state and staff and find solutions for difficult problems including rate cases. And so we have a history of finding good outcomes, these rate cases that benefit our customers and our state ERCOT market in our company. It's always important in rate cases, it's essential really to allow the interveners to have time to analyze your filing, our filing and to ask the appropriate questions that they need to do that analysis, and that's what we're doing now. However, we are in constant communication with all the parties in our case. And we will very soon, once they have asked the questions they need to ask, engage them in serious settlement negotiations, and we have done in the past, we know how to do it. It's not easy. But we're going to work very hard to try and figure out something that benefits us in the state and our customers. And that will be over the next few weeks or months. So by the time we get back in October, I suspect we'll have a lot more to talk about one way or the other. But that's kind of where we are now, where we're going, I feel very good about our case, I feel very good about our relationship. I feel very good about our history in the manner in which we engage these stakeholders in these settlement discussions. And we'll work very hard to try and make that happen in the near future. But right now, we're still in the discovery phase, so that's kind of a summary of where we are. Thank you.
Jeffrey Martin: Thank you, Allen.
David Arcaro: Okay, great. Appreciate all the color. Thanks so much.
Jeffrey Martin: Thank you.
Operator: I will take our next question from Nick Campanella with Credit Suisse. Please go ahead.
Jeffrey Martin: Good morning, Nick.
Nick Campanella: Hi, good afternoon, everyone. Nice to hear from you. I guess, what - I'll keep the question with Allen. And Oncor, we've seen a lot of folks and service territory to adjacent years, kind of talk up their load forecast. And I know that the Board meets an updated capital plan higher on virtually every year, but is there anything kind of specifically discrete and different about this year versus prior years when we're kind of thinking about the magnitude of what's needed for the system here?
Jeffrey Martin: Yes, it's a great question. I will frame it two different ways and pass it to you Allen. I think it might be helpful, if we just move to some of the growth drivers that you've been seeing in your marketplace, number one. And Nick, the reason that's important is, I think there is an expectation that the current $15 billion capital program when it gets revisited on the Board with Trevor and I, later in the fall, it has an opportunity just to meet growth for that budget to be increased. I don't want to get ahead of our Board decision on that. But secondly Allen, maybe talk about the work that your team is doing beyond just meeting capital growth and how that might play into the fall?
Allen Nye: Yes, Jeff, I appreciate the question again. And I'll start with just, what we're seeing on the growth side to your point. The state continues to your point, Nick, see just very high demand for our services and very strong growth, both organic and demographic growth. We're still seeing 1,500 people a day move here, we are seeing corporate relocations now, the most Fortune 500 companies in any state. And we're seeing just really large industrial expansions like Samsung in Taylor, TI, GlobiTech and Sherman, things like that. So our kind of growth statistics, I know, are covered in our earnings release and Trevor mentioned them as well in his presentation, so I'm not going to go into detail there. But suffice to say, we are on a very strong path on as far as premises go, include - independent of what we have in our press release just a couple of other factors. In June, we received the largest request for service to new subdivisions in our Company's history, so that's one. And then two, for July, our serve new request are up about 40% above what we had in our forecast which were already very strong. So the outlook on the premise side is very positive, transmission POIs as stated in our materials are at historic record highs. And then we continue to see just incredible demand out west and need for investment as we continue to see new peak after new peak on our Culberson Loop, on the Far West Texas weather zone and then very, very similar growth at Culberson on our Stanton area, Stanton Loop, that serves the Midland basis. So switching back from that to the CapEx, those are some of the things that are going to be in our minds and then we're going to discuss with our Board going into October. And you all know, we do these updates in October and to Jeff's point, we've been already working very hard on that. And so why, yes, we're going into October is kind of traditional load growth, the growth of the state of Texas, all the things we traditionally talked about on these calls. I think what would make this one potentially slightly different. And Jeff alluded to it is, I think we are going about the exercise this year and the team has been working very hard on this. On seeing - given some of the extreme weather that we've been seeing over a period of years now from Yuri to all the things we're going through an ERCOT this summer. We feel we have a real need, it's really necessary that we look at and try to figure out how we can harden our system and make it more resilient. Then so I know many of the utilities are doing the same exercise, some of already announced some things. But that's the other piece of what we have kind of on our plate going into the October Boards. We'll have the traditional growth, which is already causing pressure on our plan. But then we have the other piece, which is what do we want to do to try and ensure that we provide the best customer service, the most reliable service that we can to our customers, given some of these extremes shifts and weather that we're seeing and just the need to address that on our system. So yes, our October Board meeting will probably be a little more expansive, when we talk about CapEx than it has been in the past. And I think that's potentially going to create a lot of opportunities for investment on our system. Thanks.
Nick Campanella: Thanks a lot. That's great. I guess just more a capital allocation question to is, you've have this - you put a six to eight plan out there in the beginning of the year and realized a lot of momentum on this LNG business since then. And as you kind of think through all these financing considerations, should we still be thinking about the same level of buybacks here that was outlined on the fourth quarter '21?
Jeffrey Martin: Yes, Nick, I appreciate that question. It's something that Trevor and I've talked a lot about is something we'll continue to have conversations with our Board about. But I would give you a couple of takeaways here. One is buybacks and dividends have been a foundational part of how we thought about capital allocation for a long period of time. Since last summer, that we've had roughly $1.25 billion of shares had been repurchased at a price of roughly $1.32. And at the term, at each juncture across the way we viewed our stock as being undervalued and repurchases, Nick, as an effective tool to create value for owners. Given where our stock is trading today, I will be very clear, we continue to believe our stock is undervalued, particularly given the growth opportunities, we've outlined on today's call and in some of our materials relative to our peer group. That's why as we go into the fall, Trevor will lead the team in revisiting our overall capital allocation strategy to evaluate our opportunities for share repurchases in the future, but he will also evaluate those options, again some of the new capital projects that we likely expect to move into our investment horizon. This exercise, Nick, has done every fall with a view toward driving maximum long-term value to our shareholders.
Nick Campanella: Alright. Appreciate that. Have a good day.
Jeffrey Martin: Thanks, Nick.
Operator: We take our next question from Julien Dumoulin-Smith with Bank of America. Please go ahead.
Jeffrey Martin: Good morning, Julien.
Julien Dumoulin-Smith: Good afternoon, Jeff. Pleasure, thank you. So, Jeff, let me clean up on a couple of things here, if there is at least another baseball metaphor here. Just with respect to taxes in IRA legislation here, any thought about AMT and how that breaks up across the businesses here? If you can just super brief here, I get as preliminary?
Jeffrey Martin: Yes. Obviously the bills and draft, we think it will go through a variety of changes. We certainly like the support for the EV market. We certainly like the fact that there is an opportunity for the 45Q subsidy to go up. Streamlining, permitting has been raised this bill, it may be separated Julien as part of a companion bill. We think that makes all the sense in the world. In terms of the minimum book tax issue, Trevor, you go and just kind of address how we're looking at that.
Trevor Mihalik: Sure, Jeff. Hi, Julien. Hi look on the initial assessment of what we're looking at right now, we think the earnings impact will really be de minimis or non-existent on an earnings standpoint. And then from a cash tax impact, we think there may be a real slight cash tax impact but very manageable. So I think overall, we think the way it's drafted right now, it's very easy to work through the -
Jeffrey Martin: And we looked at, Julien, against our $36 billion capital program and whether the bill goes forward, it doesn't go forward, we don't see it having a material impact either way.
Julien Dumoulin-Smith: Excellent. Thank you for being clear about that. And just going back to Port Arthur here, again we're just trying to sharpen our pencil a little bit. And I get that it's preliminary around your conversations with Bechtel and any number of other parties here. But how do you think about the cost of that project here again? We're looking at a backdrop inflationary in a holistic sense obviously greenfield site. Any updated sense at all, just to kind of frame the value proposition here?
Jeffrey Martin: Yes, I'll give you two things to think about, because we haven't publicly announced calls either for Cameron or for Port Arthur, but Cameron because it's a bit brownfield project, it will also have some debottlenecking benefits associated with it. We think it's going to be the one of the lowest per unit cost projects built in the world. Now, obviously we need to get some work done here, it's still a competitive process. We feel very, very good about the cost structure of that is in addition to the base project. At Port Arthur, it's a greenfield project, the good news both of these are in the Gulf. Then you can kind of look at comparables of what other things are caused in the Gulf region. But the good news is, we've got a world-class EPC contract we're working with. I could not be more excited about our relationship with ConocoPhillips at a call with Ryan Lance, yesterday, their CEO. I think they've done 12 different LNG projects in the world. They're going to bring a lot of value and expertise to our partnership, I think between us and ConocoPhillips and Bechtel, we have an opportunity to get to the right cost structure.
Julien Dumoulin-Smith: Got it. So leaning on your partners here for some of that. And if I could do that and just when you think about the SPAs and then just lining this up for even the first half of '23 as you alluded to a moment ago. When do we need to start to see that announcement, I mean, it seems like you also have some equity sell downs coming. Is that part of the update this fall here that you kind of alluded to when you think about putting everything together, Trevor, maybe?
Trevor Mihalik: No, I think what we talked about is, we've got a series of work streams underway at Cameron, those were extremes a little bit more discrete. We've got a fair amount of work to be done yet on Port Arthur. And I think what we're saying is, we probably could not be more excited just in, I mean, Julien about where we're at right now, this far in the year about Port Arthur. But I think we've got enough work streams ahead of us what we want to do is choreographed that through the lens of creating a lot of value. And I just want to make this comment to which is, we're running this business for utility shareholders, right. So we have a defined view about our strategy, investing in T&D type assets that have low risk. And there is a lot of other opportunities in LNG space for people that won't be commodity expose or take construction risk. Our job is to make sure that we risk-adjust these projects and put those cash flows in the box, it looks substantially similar to our utility cash flows. And that's the type of work the team will be doing as they choreograph those work streams to make sure we come back later in the fall, we can give our investors a very clear view of how we expect to execute.
Julien Dumoulin-Smith: Got it. All right. Thank you guys. Just an LNG on the mind.
Jeffrey Martin: You're right.
Operator: And we'll take our next question from Alex Kania with Wolfe Research. Please go ahead.
Alex Kania: Great. Thanks for taking my question. Maybe just another one on LNG, any other discussions about maybe potentially an electrifying the terminals. Do you see that a little bit is a kind of a benefit as you're talking to European parties off-takers, petro off-takers, is that important to them? And then maybe if you could elaborate a little bit more just in terms of how you think about the CCUS and development? You mentioned that the tax credit would be - higher tax rate is obviously a good thing, but maybe just thinking about permitting and such being a little bit onerous right now, do you think there may be a way through permitting reform to simplify that as well to make that kind of more kind of more likely potential?
Jeffrey Martin: Yes. Thank you for those questions Alex. I will address the first part of your question and pass it to Justin, to talk about some of the carbon sequestration opportunities. But let me go back to some basics here. A little bit over 15 years ago, Sempra was a big energy company, right, a big commodity desk. And I think one of the things we've tried to focus on as part of our strategic work with our Board of Directors, particularly over the last five years - transition to an infrastructure company. And we have a decided view that infrastructure, namely continued investment in the grid and network will be a big part of how we support North America's continued economic expansion. And what we like about it, Alex is, is a lower risk profile as we continue to electrify the grid and move toward green molecules on the gas side, we think we're in a unique position to be a leader in the clean energy transition. So as you think about how we approach Europeans for the sale of LNG, for example, this is right in our sweet spot. So this is not something that's unique to our LNG business. Every one of our facilities in California and there may be a couple of limited examples around our compressor stations. Today, source renewables to power those facilities. And - renewable green tariff from the local utility. In Mexico, we're helping the government move away from oil fired generation to natural gas generation in world kind of top three or four renewable developer there. So going back to your specific question, at Cameron, we think there is an opportunity for the expansion to be built on the basis of electric drives. We actually delayed the project somewhat to make sure that we can be more competitive. And yes, it does help us with the Europeans. But it's actually intrinsically in line with how we think about our own business. So certainly the Europeans like the fact that we're looking at certificating over a longer period of time. Our upstream emissions including where we get our source our natural gas. And from an operating standpoint, if we can power those facilities with the electricity that over time is increasingly decarbonize, we think that's a plus. So over a long period of time, I actually think the United States will be a competitive leader and being able to source and deliver LNG on a more cost competitive basis, but also on the basis of reduce emissions profile. So the second part of your question is the opportunity to sequester carbon, again aligned with my prior comments. But maybe Justin, you could talk about our approach on the sequestration side.
Justin Bird: Yes. Thank you, Jeff. Yes, Alex if you think about Hackberry, we're very excited about that opportunity in part, because it will help reduce the emissions associated with the Cameron facility, equally, we think it's an exciting new business. And I think as EIA has said, we will not get to net-zero without substantial carbon sequestration. So in that light, in the third quarter of '21, we filed for a Class 6 carbon injection well permit with EPA. You talked about permitting reform, I do think it's early stage for EPA to consider these projects and we are doing all we can along with the industry to help support that process and to make this process expedient and to make sure all the right factors are considered. In May of this year, we signed our participation agreement with the Cameron LNG partners to jointly develop the opportunity. We're very excited about it. I think as Jeff referenced earlier a change in the Q45 benefits to that project. But again at a higher level, Alex, I think you asked about the Europeans, I think we as SI, and SI as part of Sempra are doing all that we can to make our projects less admitted and to promote the energy transition. As Jeff mentioned, whether that's through electric drives, whether through carbon sequestration, Jeff made a reference to sourcing gas, we're pursuing responsibly source gas. And also other design and operational changes that will make our projects better.
Alex Kania: Great. Thank you.
Jeffrey Martin: Thank you, Alex.
Operator: And we'll take our next question from Jeremy Tonet with JPMorgan. Please go ahead.
Britt Sunderland: Hi, good morning. It's Britt Sunderland on for Jeremy. Thanks for the time today. I wanted to follow up on the Circulation Reduction Act questions. California already has some leading environmental goals. But I'm curious if you see any potential changes in the state that could come from greater federal support via the legislation?
Jeffrey Martin: Look, I think the good news is California has been a leader in the environmental space for three or four decades. And I think that one that the great things about the IRA bill is particularly it support for electric vehicles. So I think anything we're doing to help the United States continue to decarbonize is a positive. I think you'll find a lot of collaboration between California policymakers and a lot of the policy alignment that's embedded in that bill. But I would again step back and say, look it's in draft form today, a lot of different folks who have taken different views and perspectives on it. We think it has a number of positive attributes, but I think there will be some changes and revisions going forward. So we're going to continue to evaluate it in its current form.
Britt Sunderland: I appreciate the commentary there. And then separately, this has been asked a couple of different ways, but I just wanted to circle back to the Bechtel work. Can you just provide background on when that started in terms of finalizing the EPC refresh on Port Arthur and just walk from the start of that process to the end of that process and when that should end?
Jeffrey Martin: Look, we've been working with Bechtel for a number of years. From time to time, you'll get updated cost structure and processes from them. It's an open book process that we're working on with them right now. And all you're really talking about is a refresh or bring down to the cost based upon their earlier work, and that's something that is ongoing this fall.
Britt Sunderland: Got it. Thank you very much for your time.
Jeffrey Martin: Thank you.
Operator: And we'll take our next question from Michael Lapides with Goldman Sachs. Please go ahead.
Jeffrey Martin: Good afternoon, Michael.
Michael Lapides: Hi. Good morning, Jeff. Thank you guys for taking my questions. I actually have a couple of, I apologize. The first one labor and wage inflation, we saw SoCalGas had recently make a Z Factor filing, we haven't actually seen one of those in a while in California. Talking about incremental cost in between rate cases to get alignment. Can you talk both for the California utility and the Texas utility and maybe how they are different, in terms of just what you're seeing in the O&M expense escalation?
Jeffrey Martin: Well, what we try do is, we lay out our five-year plan, Michael, each fall we adjust that for expectation of costs and O&M and in capital. Today, what the good news is, as you think about other participants in the marketplace, they've had rate cases a year ago or two, three years ago. I have been following the Edison case. But what's most important for us is, we're actually filed all three of our rate cases in May of this year. And Allen outlined it earlier today, but Allen expects to get through his rate case proceeding this year with a good outcome we hope. And then SDG&E and SoCalGas, the most important part of this is SoCalGas just recently reached their labor agreement with their union. All of these current costs are going into the rate cases that were filed in May. And there will be a bring down to our cost structure here in California. And I think it's in October, November filing. So separate and apart from various mechanisms and account for this, I think one of the thing that really is a benefit to Sempra and is really a tailwind is to bring down on all of our cost, really in the next six to 12 months. The other thing which is related to your question, which I would mind touch on Michael, is the interest rate environment which obviously impacts all three of these businesses given how much their leverage to debt. But Trevor and his team have been actively managing our exposure to maturities and variable cost borrowings. So think about this as an example. Since 2017, we've been able to reduce our debt to cap from roughly 46% to 47% today, and we don't have any maturities between now and 2027. At our utilities, we have limited near term maturities, all of which are in the regulatory mechanisms in California and Texas. And at Sempra Infrastructure, you recall we've got a standalone balance sheet and done a lot of recent financings. They all are very limited near term maturities. So we even worked with KKR and ADIA and raised [$1 million] in the last 12 months from that business. So, as you think about our cost structure, it will be updated in our current pending rate cases. Things like interest rates which were following closely, we think we're in great shape on.
Allen Nye: And Jeff, just as a cleanup, it was 56 to 47, yes, so 56...
Michael Lapides: Understood. And this one maybe for Trevor. Just curious how you're thinking about that coming, look on core CapEx may go up, just given the new connects in the demand trends which have been phenomenal in that part of Texas or those parts of Texas. And you've already got the CapEx lined up as part of the California rate cases. It doesn't seem like LNG CapEx would ramp dramatically next year and probably be more in 2024 and beyond, then a lot of that would be self-funded down at the operating subsidiary. You're sitting with $2 billion of cash on the books, you have almost no short-term debt or very limited amount of short-term are currently maturing debt on the books. At what point do you actually think you're getting under-levered?
Jeffrey Martin: Well, obviously we've got a record capital program of $36 billion, I think you can take from today's call, as we go through the processes this fall. I think if I was going to take over or under, when we come back on our February call next year. I would certainly take the over. We feel great about our balance sheet, but Trevor maybe as you think about where you expect to Oncor CapEx to go? How are you thinking about managing the balance sheet going forward?
Trevor Mihalik: Yes. Sure, Jeff. And Michael, just with regards to the balance sheet, that's kind of just a flash in time, and so a lot of that those cash proceeds that we got from the sale of the 10% ADIA are sitting on the balance sheet there. And again, we have deployed that cash to paydown certain short-term debt since that period of time. But again, as Jeff said, we've got an opportunity to continue to deploy capital across the three businesses. But in particular we're seeing a lot of opportunity at Oncor and at the Cali utilities to continue to harden the systems and bring our growth to their various resources and their rate base areas. And so we feel good about deploying that capital into the CapEx plan. And as we continue to see CapEx most likely going up in the near term that will be a way to continue deploying that cash.
Michael Lapides: Got it. And can you remind me, Trevor, does the Oncor generally dividend cash back up to the Sempra holding company or does Oncor retain that cash to finance its growth?
Trevor Mihalik: No, Oncor will distribute certain amounts of cash back up under the LLC agreement that we have. And they do it both in dividends with excess cash, as well as tax payments back up to us, so that we can cover the tax, the cash tax payments on their earnings. Right now, they do have a lot of capital in front of them, and we continue to see us deploying cash into that business, but we are getting at a minimum cash tax payments on a quarterly basis back from Oncor.
Michael Lapides: Oncor is largely self-funding from the Sempra Holding Company?
Trevor Mihalik: Absolutely. Yes, Oncor is self-funding.
Michael Lapides: Got it. Okay. Great. Thank you guys. Much appreciated. Congrats on a really good quarter.
Jeffrey Martin: Thanks, Michael.
Trevor Mihalik: Thanks, Michael.
Operator: We'll take our next question from Ryan Levine with Citi. Please go ahead.
Ryan Levine: Hi, everybody.
Jeffrey Martin: Hi, Ryan.
Ryan Levine: In terms of the LNG cargo diversion for the quarter, can you comment on how impactful that was during the second quarter? And if you expect any benefits from that have to be a day of contractual opportunity that you have into the future quarters and beyond?
Jeffrey Martin: Yes. Thank you for the question, Ryan, I'll pass it to a Citi alumnus and let Faisel respond to you.
Faisel Khan: Yes, Ryan. So I think we've talked about the sort of the exposure, quite a bit over the last several years, it's really comes down to sort of our contract with Tangguh by 0.5 Bcf a day as you mentioned. And so for every dollar increase or decrease in the index price in our earnings sort of move up and down from that contract by just over $10 million in after-tax earnings. So that's kind of what you see. Whether the cargos come in or not really isn't important, it's just the contract itself is indexed to a price.
Ryan Levine: Give a sense on what that was during this quarter?
Faisel Khan: We give you - we disclosed on an annualized basis. So, I mean, if you want to, you can kind of split up that way, but that's kind of how the contract work is, there is seasonality to it.
Ryan Levine: Okay. And then it was briefly mentioned the Hackberry's CCUS opportunity, the extent the inflation reduction were to pass, is that enough to reach FID there? Would there be any mitigating hurdles to cross to move that project forward?
Jeffrey Martin: Yes. I appreciate the question, obviously, similar to some other projects we're continuing the process there from a permitting standpoint. We've recently made some progress with the participation agreement with the Cameron partners. Obviously, if that goes forward, it moves it from $50 a metric tonne to $85 a metric tonne, which certainly improves the economics. So it's a project that we're optimistic about in terms of building, Ryan. But just as importantly, it's thematic to how we think about making Cameron more competitive as an LNG exporter.
Ryan Levine: Okay. Thank you for taking my questions.
Jeffrey Martin: Thanks a lot, Ryan.
Operator: We'll take our next question from Paul Patterson with Glenrock Associates. Please go ahead.
Paul Patterson: Hi, good morning.
Jeffrey Martin: Hi, Paul.
Paul Patterson: So, I wanted to touch basically you on the provision in the Senate for a netting fee. It sounds like you guys are pretty well positioned in terms of your own operations at least your opening comments, et cetera, about being ahead in California. A. Is that correct assessment? And then B. I'm just wondering is there any potential opportunity assuming that's correct to perhaps engage in activity with other parties, perhaps lowering their netting stuff, any comments on that?
Jeffrey Martin: Yes, it's a very interesting questions, so thank you for raising that. I'll give you a couple of thoughts, which as you may have seen in our materials that since 2015, SoCalGas has really been on their horse, trying to reduce methane or fugitive emissions. They've got them down about 37%, well above the target that states that for 2025, and very close to the targets in some states for 2030. So this is going to be an issue of innovation, new technology, how you kind of improve your operational processes. And I think natural gas, Paul, has a long-term role in the economy here in the United States and globally. And I think they will not be an energy transition without energy security, is a base fuels like natural gas are imported. But if we don't get about the business about making sure that we don't have fugitive emissions, we're going to handicap the long-term viability of natural gas as being part of the energy mix. So there is no question that California has lead in this area. And the second part of your question is kind of interesting. I do think there'll be a very - there'll be a number of very large business built over the next decade and decade and a half around carbon trading. And companies that can assist others in reducing their carbon footprint, because remember at least today, the goal is net-zero by 2050. So the ability to basically lower your emissions, get credit for it, offset other emissions will be really important. And I think that's the business case that many people will be evaluating.
Paul Patterson: Okay, great. And then San Diego, I think earlier this week passed a sort of let's say a carbon plan that dealt with the request of electrification and gas sort of an anti-fossil fuel sort of thing. Just wondering how you guys have a - what you guys think of it and what it may or may not mean to you guys?
Jeffrey Martin: Yes. I'll give you a couple of thoughts. One is, I made this comment earlier, but we're an infrastructure company right. And the beautiful thing about that is in California, we'll go out and purchase a fuel at a certain price whether be electricity and natural gas. We will run a really highly efficient system and we pass that cost onto the customers without markup. So whether we're selling more natural gas or less natural gas, isn't really a financial issue to us. What we do believe in, is decarbonizing California. So we've made a goal to be a leader in electrification. But we also believe, Paul, over time we as state will be agnostic as to whether it's a green electron or a green molecule. So in San Diego, similar to L.A. and other parts of the States, there established a precedent where they'd rather focus on electrification and look at SDG&E, we're in both, right. So if you reduce capital investment in natural gas and you have to increase capital investment in new projects and electrification. Again this is not a financial impact to us. What we worry about in the process or where the people are inadvertently driving up the cost without the benefit that they might think from that. But look we're supportive of where the city wants to go and I think one thing that's unique about our business, whether we're in Louisiana or Mexico or California, we're strongly aligned with supporting policy makers and making sure we're advancing services for consumers. So, we don't tend to be obstructionists on these types of issues, we tend to try to find a way to help them meet their goals.
Paul Patterson: Okay, great. Thanks so much. Have a good one.
Jeffrey Martin: Thank you, Paul.
Operator: We can now take our next question from Craig Shere of Tuohy. Please go ahead.
Craig Shere: So, two LNG related questions. First, things you're focused more on mid-scale in Mexico, there is a variety of drivers for that. But we are hearing that nickel inflation is weighing more on the large-scale design versus mid-scale. And I was wondering if you have some thoughts about inflation, optimal design for the U.S., as we look past Cameron Phase 2 and Port Arthur Phase 1, and then I've just one more.
Jeffrey Martin: Well, I appreciate the question, certainly, nickel is an important component in a variety of industrial processes including LNG facilities. The focus on mid-scale projects in Mexico appeals to us from a number of angles. One is, these are particularly, Vista Pacifico and Salina Cruz, our greenfield projects. And number two, we tend to try to avoid adding pipeline cost to a project. So in the Vista Pacifico case, we get a leverage of existing pipelines. In the ECA Phase 1 case, we had an existing pipeline, there are no new tanks for example at Cameron when you move to the larger scale projects, so we're not impacted by nickel. But that's one of the reason that your question is important is, it's not just nickel, there is inflationary pressures across the entire supply chain and that's why we're getting the work done with your EPC contractors to have your calls refresh and make sure you marry those up with your HOAs and SPAs to preserve your economics are so important. So you raise an important issue and it's one that we address an overall cost structure.
Craig Shere: Right. And my last question and I preface this by saying, I'm not saying it's a probable scenario. But would you view it as crazy, I think we could have four LNG FIDs in 2023 totaling perhaps 25 to over 35 MTPA, combining Cameron's Phase 2, Port Arthur and some combination of a second and third Mexican liquefaction project.
Jeffrey Martin: Craig, I certainly appreciate your optimism and I can tell you that the folks that spend time with particularly in the international oil and gas community. I think there is a growing recognition that the world today is short, natural gas. And I think not only is it short natural gas in key parts of the civilized world, OECD nations to non-OECD nations, where short infrastructure in key markets to export it. So we're going to be very disciplined about how we think about progress going forward. Justin, did a good job of articulating the various stakeholders, who are working with is. Right now, our primary focus is on making sure we deliver ECA Phase 1 on time and on budget. It takes up a lot of Justin's attention, that's our top priority. Secondly, we've taken the step and given some guidance around when we expect to take FID at Cameron. We think this is a world-class project, the type of partners we have there are absolutely excellent and partners that we've worked with for a long period of time. And as it come comes to Port Arthur and other opportunities, there is no question that there is tremendous excitement on the marketing side of it and it's our job to take additional time to make sure we line up the economics, manage the risk and do it in a way that creates a win for our utility shareholders.
Craig Shere: Thank you.
Jeffrey Martin: Thank you for joining us.
Operator: We'll take our next question from Anthony Crowdell with Mizuho. Please go ahead.
Anthony Crowdell: Yes. Thanks so much for taking my question. Hopefully really easy one and I do wish your Padre's luck after the big signing earlier this week. So, if you're focused on an offtake agreement for the LNG. Just, I guess I just want to understand, is there significant competition from the LNG terminals? I'm kind of look at it from the offtake you're signing, like other than price, what else would a purchaser - purchase of the LNG use to pick Terminal A versus Terminal B or are other options?
Jeffrey Martin: Yes, well, let me just start by saying that, a lot of times people tend to focus on company A versus company B versus Sempra. And the way I try to think about it is the United States has a big role to play and you're out there, competing as a nation against Australia and the Qataris, North Russia, Mozambique and other locations. As you get down in the United States, you start thinking about competitive advantages. One of the things, it's a lot of people are focused on is the relative advantages of having a West Coast facility that can shorten the transit time on the high seas from roughly 25 or 26 days to go from the Gulf Coast through the Panama Canal to Asia. Whereas a West Coast export facility can do that in 10 or 11 days. In the Gulf Coast, it really is well positioned, obviously to serve, Europe. And as you talk to those parties, a couple of things that creates an advantage for us. Number one, we're a $50 billion equity value company, we've got a strong balance sheet, we've been in the gas business for over 100 years. We have a lot of established relationships. So, if you're talking with a utility in Europe, those are important to them, that we've got that utility background that strong balance sheet. Also, we've got a track record, right. We've been in the LNG business for close to 17 years now. We're not a new entrant, so I think scale, strength of balance sheet, track record is important. And obviously having Cameron is one of the flagship projects in America today. It's a really, really important part of our reputation and we take the operational excellence at that facility, it's one of our top obligation. So if you look - this is not about us talking down the competition. We've got a pretty unique footprint, and that's been recognized today when we market our projects. It has created a lot of excitement around our opportunity to bring some of these to the market.
Anthony Crowdell: Great. Thanks for taking my question.
Jeffrey Martin: Thank you for joining us.
Operator: And that concludes today's question-and-answer session. At this time, I'd like to turn the conference back to Jeff Martin for any additional or closing remarks.
Jeffrey Martin: Sure. I just like you conclude by thanking everyone for joining us. I know it's a busy day with a lot of other competing company calls. If there are any follow-up items please reach out to our IR team with any additional questions. Also want to mention, Trevor and Glen, look forward to seeing many of you who are attending the Citi Conference later this month. I think that's on the 16th and 17th in Las Vegas. This concludes our call.
Operator: Thank you for your participation. You may now disconnect.